Ingela Ulfves: Good morning everyone and welcome to Fortum's Webcast and News Conference on our First Quarter Results for this year. My name is Ingela Ulfves and I’m the Head of IR at Fortum. This event is being recorded and we will post a replay of the call after this event on our website. With me here in the studio is our CEO, Markus Rauramo; and our CFO, Bernhard Gunther, who will then together will present Fortum's first quarter 2022 figures and the Group's performance. Markus will also comment on the Russian situation. After the presentation, we will open-up for questions in the Q&A session over the teleconference. There will also be an opportunity to ask questions on the chat. So with this, I will now hand over to Markus to start.
Markus Rauramo: Thank you very much, Ingela. Today, I will start with our Q1 performance and our key developments. As the war continues in Ukraine, I will give you an update on our perspective on our Russian businesses, will briefly touch the disruption in global energy markets, and close with our contribution to secure, reliable and affordable energy by engaging with governments, customers and suppliers. Bernhard will walk you through the numbers in more detail. I start with sharing the frame looking at the Q1 headline KPIs. Last time on this stage, I was pleased to present outstanding operational 2021 result across the group following the very volatile market fundamentals with unprecedented commodity price levels. Since then, following Russia's attack on Ukraine, the developments in the operating environment have been even more dramatic, and it seems at first glance that we have not been able to maintain our high earnings level, but that we have had to take a substantial hit on our results. But before you jump to conclusions on our Q1 performance, let me address the main reason for the negative earnings in the first quarter. First, as a reminder, last year's Uniper related Q1 earnings included the extraordinary positive effects from the cold spell in North America, which did not reoccur this year. Additionally, some of the gas margins shifted from Q1 '22 into Q4 '21 because of Uniper's operational measures to secure liquidity. This was highlighted and included in Uniper's Q1 guidance in February. Therefore, it was already anticipated that Q1 '22 was going to be generally below prior year level.  Second, as Uniper announced in its profit warning some weeks ago, approximately EUR750 million of the normal earnings in Uniper's gas midstream business shifted to subsequent quarters of 2022. In March, Uniper ceased the provided market opportunities and decided to shift earnings in order to create additional value. So what happened is that, less gas was withdrawn from storage facilities in the first quarter, then had to be installed to our customers. Instead, the volumes were bought back from the market at higher market prices, hitting the Q1 result. This was done so that the gas in storage could be sold forward at a premium. These gains will materialize later this year. What we see is normal optimization activity at Uniper, but at current price levels the magnitude of such a swing is substantial. However, this is not affecting the full-year results and Uniper confirmed their result guidance for 2022 and could also keep more gas in storage in Q1. What comes to the operating cash flow, the figures are in line with the earnings development for the first quarter and reflect the liquidity measures taken in Q4, 2021 which now reversed in Q1. Our leverage is well below our target ratio of 2 times financial net debt to comparable EBITDA. Please note that, the sale of our 50% stake in Fortum Oslo Varme for roughly EUR1 billion that we disclosed in the end of March is not yet included. Similarly, Fortum's dividend was paid in April during Q2 2022. Bernhard will give more insights to this in his section. Now let me update you on our thinking on the Russian businesses. The ongoing brutal war in Ukraine continues to shock and outrage us all at Fortum and our compassion is with the people who have been displaced or hurt by the senseless violence. As a company, we are exposed to the direct and indirect implications of Russia's invasion. There are several angles to be considered, but since the early days of the war, it has been clear and we have said that we will not continue to operate in Russia as before.  So what have we done to manage and reduce our exposure to Russia. In addition to the previously announced investment and financing freeze in our Russian subsidiaries, we are preparing for a controlled exit from the Russian market with potential divestments as the preferred path. Also Uniper has been preparing a possible divestment of its separately listed subsidiary Unipro and said that the process will be resumed as soon as possible.  Exiting Russia may take some time and under the current Russian law, any transaction would require an approval from the Russian government. So far, our heat and power activities in Russia have continued to run efficiently. However, due to existing sanctions imposed by Russia, our operations are subject to significant foreign exchange transfer restrictions, which limit the ability to transfer funds, including potential dividend distributions out of Russia.  You have also seen that we have recorded pre-tax impairment of approximately EUR2.1 billion related to the Group's Russian assets. This includes Uniper alone to Nord Stream2 and ownership in our assets in Russia. This is what we are doing with our operations in Russia and reflects how they are now valued. The other challenge is Uniper's commodities business, especially for gas. Uniper will not renew its coal import contracts after this year and will end the use and import of Russian coal in line with the EU sanctions in August. And when it comes to Uniper's existing long-term contracts for Russian gas, this will not be prolonged, but we will have to import natural gas from Russia also in the future as this is a substantial building block for Europe's, and especially Germany's security of supply. Any major interruption of this flow we will have severe consequences for end customers and an industrial production in Germany. I will come back momentarily to how we are supporting Germany's efforts to reduce the dependence. Having said that, I will move over to the market slide. After an extraordinary autumn and winter in 2021, the war and concerns over supply curtailments caused an upheaval in all commodity markets. The effects are most pronounced in natural gas with the European front-month gas prices spiking above EUR200 per megawatt hour in Q1. The high gas prices have also clearly increased both demand and prices of other commodities, coal, oil and power.  The Nordic system price has strongly increased in the wake of Continental European and UK power. Despite this increase, the spread to German power prices has grown both in delivery, but especially on the forward curves. German forwards continue to be set by the gas short run marginal costs, which are impacted by significant volatility and uncertainty. Nordic spot price is still more than Central European, exposed to low prices in case of wet and windy weather periods, which is reflected in the forward curve. Strong wind build-out, internal transmission net and interconnector restrictions and bottlenecks also affect the Nordic-German spread. What we are experiencing in Europe today is the severe energy crisis with deep uncertainty about supplies and further rising prices. It is therefore no surprise that energy is fast becoming the most important policy area for our economies. The factors at play simultaneously range from security of supply, the geopolitics, inflation and climate objectives triggering short, as well as long-term energy considerations.  With markets, political developments and additional sanctions continuously influx, this has created unprecedented short-term challenges for the entire sector in Europe, as well as far-reaching implications for the longer-term energy system and transition. In this situation, utilities will continue to play a crucial part in diversifying supply to the EU, investing in domestic clean production and in developing critical infrastructure to increase the systems resilience. Let me now move to how Fortum Group is positioned in this context. The EU is tackling the need for short and long-term transformation with re-power EU plan. Policymakers demand an acceleration of the energy transition and have the ambition for energy independence. This is pursued by electrifying Europe, gas supply diversification and transforming industry. Our strategy supports these goals, in particular through our strong position in Co2 free power generation, security of supply and gas. Security of supply in power generation is key, especially in our market in Germany and the UK. We are ready to extend the use of coal-fired generation into coming winters to bolster energy security, but we will only do this if it is requested by the respective governments as we do not want to compromise on our decarbonization ambitions. In addition, we are ramping up our Co2 free power generation. This year we will get the addition of Olkiluoto 3's generation with our share of 400 megawatts. We have also applied for lifetime extension of our fully owned Loviisa nuclear plant until 2050. At the same time, we are proceeding with our investment in renewables growth, which includes the launch of our first Fortum Uniper wind and solar team project. Pjelax-Bole and Kristinestad Norr wind parks with 380 megawatts capacity will be built in cooperation with Helen the Helsinki City on utility.  In addition to clean power, Europe will continue to need gaseous fuels. However, Europe's indigenous natural gas production is declining and there are limited pipeline import opportunities as the production from the UK and the Netherlands is structurally trending down. Hence, demand will need to be managed down and LNG imports need to rise sharply. European gas prices are high enough to attract substantial LNG volumes to Europe and visibly erode demand, but the phasing out of Russian gas is likely to be a multi-year effort. Consequently, Uniper will build and operate Germany's first LNG terminal in Wilhelmshaven to diversify the country's natural gas supply sources. Uniper is supporting this project with its onsite projects in the short-term and in the medium and the long-term in the form of the green Wilhelmshaven project. Decarbonization of gas will be key. Therefore, the plan is to provide additional unloading and handling facilities for green gases, for example, ammonia, in order to be able to utilize the full potential of this new infrastructure project, the green ammonia is either transported directed by rail or converted back into hydrogen on-site and can meet more than 10% of German hydrogen demand in 2030.  But hydrogen will also have to be stored. Uniper has put the natural gas storage facility Krummhorn to the test for starting hydrogen as larger volume hydrogen storage facility is essential for the energy transition and the development of a hydrogen economy. Additionally, Uniper lately signed another agreement to produce blue hydrogen at our site in Killingholme in the UK in large scale. We are also participating in projects that are most obvious to support the energy transition, the use of waste energy. In March, Fortum and Microsoft announced a unique collaboration project, whereby Fortum will capture the excess heat generated by Microsoft's new data center region to be built in the Helsinki metropolitan area in Finland. The data centers will use 100% emission-free electricity and Fortum we will transfer the clean heat from the server cooling process to homes, services and business premises that are connected to its district heating system. The waste heat recycling concept from the data center region will be the largest of its kind in the world. And with this, I will now hand over to you, Bernhard.
Bernhard Gunther: Thank you, Markus, and a warm welcome also from my side. As usual, I will start with an overview of our key financials. As exceptional market price movements continue, I will again run you through some reconciliations of how the market volatility has impacted our P&L, balance sheet and cash flow.  As Uniper is the main driver of the year-on-year delta and most of you will have followed their disclosure and investor call in previous weeks, I will comment the segments-only on an aggregated level today and close with the outlook session. I want to start with our financial overview, summarizing the key comparable indicators. Q1 comparable operating profit was predominantly affected by a significant EUR750 million earnings shift in Uniper's gas business, which turned Q1 earnings into a loss. However, as this is only a shift of earnings between quarters, it is consequently not affecting full year earnings. As Uniper confirmed in their profit warning, the full-year result guidance remains intact.  Also, net cash from operating activities turned negative, which is in line with the earnings development, but also a consequence of liquidity measures taken by Uniper at the end of last year. This was to manage the liquidity situation that is now reverting to a certain extent. Please remember that, cash conversion from comparable EBITDA to OCF has been above [130%] (ph) in 2021. Therefore, this reversal should not come as a surprise. Our financial position reversed accordingly with financial net debt to comparable EBITDA at 1.0 times at the end of Q1, however, still well below our target of below 2 times. The 0.2 times at year-end was also driven by the aforementioned liquidity measures taken by Uniper and the Group. The strong increase in commodity prices has naturally impacted P&L, balance sheet and liquidity. But before diving into these details, let's have a brief look on the segment overview. Looking at the Q1 earnings figures, we see a substantial decrease in comparable operating profit. Nearly all business segments are down year-on-year due to various reasons while obviously the largest deviation is related to Uniper. Let me start with generation. Comparable operating profit increased by EUR13 million with another strong first quarter. This is due to almost EUR7 per megawatt higher achieved power prices and these numbers show strong physical optimization despite lower hydropower volumes due to lower inflow and lower reservoir levels at the beginning of the quarter.  Russia, their comparable operating profit was down EUR39 million following the expiry of the CSA payments for Nyagan 1, the lower raw ruble exchange rate and the lapse of EUR17 million sales gain in 2021. In City Solutions, comparable operating profit was down EUR38 million, mainly due to structural changes, including the sale of the Baltic district heating business and solar plants in India in 2021. The Q1 2022 result is also negatively affected by significantly higher fuel prices. Consumer Solutions was almost flat despite a very challenging market environment for retailers. And finally, and as mentioned before, Uniper. Here we see a massive decrease of EUR1.5 billion year-on-year. The decline in earnings was mainly attributable to Uniper's global commodities gas midstream business, in particular, the already mentioned gas storage optimizations. In view of the current market environment, Uniper reduced its anticipated gas storage withdrawals in the first quarter to the benefit of future quarters. This resulted in a significant earnings shift of EUR750 million from the first quarter into the remaining quarters of 2022. Additionally, Q1 2021 took profit from one-offs, like the cold spell in North America, which did not reoccur. For further details, may I refer to Uniper's publications. And now over to the P&L. What you see here is the reconciliation between comparable and reported figures. In essence, there are three things I would like to highlight that our all linked to the situation in Russia and the development of commodity prices. First, the items affecting comparability. Operating profit for the period was impacted by nearly EUR2 billion of items affecting comparability. One component, our changes in fair values of non-hedge accounted derivatives, they amounted to EUR1.1 billion and are almost entirely related to the Uniper segment as Uniper has the strongest exposure to commodities. As commodity prices surged, these hedge deals decreased significantly in value. However, the corresponding value of underlying assets like power plants or inventories is not reflected here as their book values are kept at historic cost under IFRS. The mismatch is only temporary and will resolve over-time as the products go into delivery and the position settled. Therefore, this will revert.  Additionally, the items affecting comparability include impairments of EUR830 million and in Q1 we booked EUR275 million related to fixed assets and goodwill for Fortum's Russia segment and EUR555 million of impairments for the fixed assets from Uniper's Russian segment, Unipro. The second effect we see in P&L is in the share of profits or losses from associates and joint ventures, they turn negative as it includes now EUR150 million impairments related to Fortum's ownership in Russian TGC-1 and EUR22 million of impairments for the renewables joint ventures in Russia. Third, in finance cost, you see a strong decrease of EUR956 million. The change in finance cost net mainly relates to the EUR1 billion impairment of Uniper's financial loan receivable, including accrued interest for the Nord Stream2 pipeline project. The receivable was fully written down. Consequently, the corresponding EUR100 million of interest income will no more be recorded going forward. Now over to the balance sheet. The substantial increase in fair value of our financial derivatives further increased the balance sheet. The increase in commodity prices had a significant impact on the derivative financial instruments, especially in the Uniper segment. Please note that, those are booked on a gross basis to the balance sheet, so all deals increase the balance sheet, even though maybe the same product has been sold back and forth and -- several times in the same period.  One focus area in the last months has been to reduce the exposure to collateral and margin requirements as major part of our hedges have been placed at traded markets. Therefore, Uniper increased the share of OTC deals that have limited or no margin requirements. This has been proven right, as commodity prices further increased substantially, especially on the outer-end of the curve, while margin receivables decreased. We are working closely together with Uniper, their business as well as our financing partners to make sure that the margin calls and the resulting liquidity risks are properly managed. Liquid funds decreased by EUR1.2 billion following the repayment of debt, but are still at a very healthy level. Now over to the cash flow statement. The cash flow statement confirms what we have seen on the balance sheet. The net cash delta of the change in margining receivables and liabilities is synchronized with the financing. The net cash from operating activities turned negative in Q1. This was, on the one hand, driven by the very low cash effective EBITDA in the context of gas storage optimization where we shifted earnings to the later quarters, but also due to the reversion of the operational liquidity measures, mainly payments for Co2 allowances and gas that were undertaken by Uniper in Q4, to manage the higher margin requirements following the extremely high commodity prices and volatilities.  The cash flow from investing activities for the last 12 months is clearly driven by the divestments and margin receivables. In order to achieve high liquidity in the most cost efficient way Fortum and Uniper used a broad set of financing tools, including commercial papers, bank loans, intragroup loans and ultimately also operational measures within the commodities portfolio. The next slide now shows net debt and our maturities profile. As the graph shows, our financial net debt is up following the negative Q1 operating cash flow. Consequently, our leverage KPI of financial net debt to comparable EBITDA reverted from the extremely low level of 0.2 times to 1.0 times, which is still comfortably below our target of below 2 times. We currently have EUR13.8 billion of gross debt and an average interest rate of 1.0% for the whole loan portfolio.  Looking at the loan maturity profile, this might appear a bit front-loaded. But please note that the increase in short-term liability is linked to our cash reserves as we wanted to increase and secure sufficient financial flexibility in these extreme commodity market situations. At the same time, our liquidity position is very solid with liquid funds of approximately EUR6.4 billion. In addition, we have committed undrawn financing of close to EUR6 billion. So, overall our liquidity position is solid. Regarding our BBB flat rating, due to the constantly developing external circumstances and increased uncertainties, we are in continuous dialog with our rating agencies. In March, S&P put both Fortum's and Uniper's rating on CreditWatch negative, while Fitch kept Fortum at stable outlook. Our discussion continues with rating agencies and we await S&P to resolve the CreditWatch negative in due course. Let me finally now come to the outlook. Fortum's successful hedging has continued to create predictability and visibility. The hedge prices for generation -- our generation segment have increased for this year and also the 2023 hedges are up. Regarding Uniper's hedges, it is important to note that Uniper's hedge prices have changed in Q1 because they made some changes to the hedge price reporting. It is also good to note that the hedge prices shown here are only for outright volumes, meaning, hydro and nuclear volumes, so gas or coal volumes are not included, the same also applies for Uniper.  Regarding CapEx for 2022, we reiterate our CapEx guidance of approximately EUR1.5 billion, of which maintenance is expected to be around EUR800 million. For the year '22, maintenance CapEx is accordingly at the upper end of the range as normal maintenance CapEx would be rather in the ballpark of EUR750 million. With this, I conclude our presentation, and we are now ready to start the Q&A session. Ingela, over to you.
Ingela Ulfves: Thank you, Bernard, and thank you also Markus for the presentation. So I said, we are now ready to take your questions. Please state your name and company before you ask the question and we would also ask you now to limit yourself to maximum two questions each. As I said, there is also the possibility to ask questions on the chat. However, if there are many questions on the telco, we will prioritize those first and therefore ask you to also leave your contact details when posting a question on the chat, so that we can come back to you later from the IR team. But with this, let's begin the Q&A session. Moderator, please start.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Sam Arie at UBS. Please go ahead, your line is open.
Sam Arie: Thank you very much and good morning everybody. Thank you for the presentation. It's a complicated set of result where you did a greater by walking us through all the detail. If you, forgive me, Markus, I just like to jump in with a question on the stuff that you didn't really talk about which is the German energy security law which, if I'm right, is going through a German parliament at the moment. And my question is, if you have seen a draft of that law and if I'm right in thinking that what it currently says is that, if Germany goes to the next level in the gas framework, so that's kind of the next level of security risks on where we are today, then gas suppliers like Uniper would no longer be required on a contract prices and customers could choose kind of to take asset market prices or not to take it. If so, I think that would be an extremely sensible set of measures for the government to be implementing, but because it will be very helpful you see Uniper so really we have, if you can talk us through what's going on there and if my understanding is correct? And then secondly, if I'm allowed a second one. Just a short one for Bernard and perhaps Bernard if I could just ask you could again some places your shareholding and Uniper has changed [indiscernible] per year. Those are my two questions. Thank you very much.
Markus Rauramo: Okay. Well, again, good morning everybody and thank you Sam for the question and the compliment on walking through this. Yes, this is roughly our understanding of what is -- what will be handled now by the German government and parliament. So my key takeaway is that, in case there would be gas curtailment, then the gas suppliers would be allowed to procure gas from the market and pass on the cost to the customers and customers would have a possibility then to not take.  So for me this resembles the third level of the current energy Security Act. But what I would say here is that, this is one part of tackling the energy crisis that we have at hand. So because of the Ukraine war, we have extreme conditions in the markets, high prices, demand-supply uncertainty and uncertainty on how the market is supposed to work in different conditions. And this is something that the governments truly have to address between governments, within EU and then between governments and companies.  And whilst I agree on a high level that this is what you described and what I am seeing, then the details of how this would actually then happen that remains still to be seen. But what I see is that, German government and other governments, they are taking actions to have a controlled situation or transition when Europe is then decreasing its dependency on Russian energy. So this is part of that transition path as I see it.
Bernhard Gunther: Shall I take the second question, Markus. Yeah. Sam, on your question about our shareholding, it's important to see that we have a change in our reporting practice starting in 2022. So unlike [indiscernible] where we reported, including in 2021, share purchase of Uniper under investing activities we have now revised this reporting to bring it more in line with IAS-7 requirements and it's now shown under financing cash flow, because in terms of IFRS consolidation we also consolidate 100% of Uniper and therefore basically the search you had to do in former quarters in the investment cash flow is now to be done in the financing cash flow.
Sam Arie: Okay, thank you for the point there. But you are not going to comment whether it is still we have what's your overall percent ownership today, and as I mentioned, full year.
Markus Rauramo: No, unfortunately not.
Sam Arie: I'm going to have to figure that. Okay, thank you very much and thanks Markus for your answer too. It seems like a very positive development on the German side.
Markus Rauramo: Okay. And operator, I guess we're waiting for the next question.
Ingela Ulfves: Okay. It seems that there is some technical issues here now with the line. Meanwhile, we can take a question from the chat. So there is a question from Ingo Becker from Kepler Cheuvreux. Good morning. Could you comment on your view on the risk of a claw back in Finland and Sweden, respectively, in particular after the recent comment in Austria concerning for bond like Fortum and outright power producer?
Markus Rauramo: I haven't seen any such discussion taking place actually in Finland, so the discussion is focusing on how we reduce the dependency on Russian energy and how we expedite the energy transition. So this is where the focus of the discussion has been.
Ingela Ulfves: Thank you so much. And meanwhile, we are still waiting for the teleconference to get back online. So, I will continue with the question from the chat again. What needs to happen to resolve the CreditWatch negative? What is the latest on the ruble payment to Russian government on gas? This is a question from Deepa at Bernstein.
Markus Rauramo: Maybe I'll let Bernhard take the CreditWatch question and I'll take the ruble question.
Bernhard Gunther: Okay. So, yes. Hi, Deepa. What needs to happen? Well, I think it's part of the business model of rating agencies that they usually don't give you a precise what if instructions, so that if you do this then exactly that will happen. But I think, in all the discussions we had over the last couple of weeks, it became clear that the issues around potential gas curtailment scenarios are the main ones currently driving the discussion like also on the equity capital markets side and we have demonstrated, I think, quite convincingly that we managed to de-risk significantly our positions in terms of liquidity swings, triggered by commodity price volatility, as I mentioned before and as you can also see in our balance sheet and on the curtailment, of course, there are now these initiatives going on that Sam asked in his question on [indiscernible] in Germany and others. Markus?
Markus Rauramo: We regards to the payments, the big question is about the security of supply and especially in case of Germany on the gas -- natural gas supply to Germany. So we are working on then substituting the Russian volumes -- Russian energy volumes, for example, with additional LNG re-gas bookings, LNG terminal into BLM's hub and so looking for additional supply. Then when it comes to how the transition for the pipeline gas should be managed. We are in very close cooperation with the German government to find a solution for this transition to happen. We have and we will comply with all EU sanctions and we have and we will continue to pay in Euros and then for the solution, how will that happen going forward, I trust that we will find a sanction compliance solution together with the German government and Gazprom.
Ingela Ulfves: Thank you.
Operator: Our next question comes from the line of Wanda Serwinowska of Credit Suisse. Please go ahead, your line is open.
Wanda Serwinowska: Hi, good morning. Wanda Serwinowska, Credit Suisse. Two questions from me. The first one is on Russia. Even if you sell the power and heat assets in Russia, the Uniper still has a long-term contract with Gazprom, which also creates some exposure to Russia. Is there any way you can terminate it before 2035-2036?  And the second question is on this Finland's Prime Minister's statement that Finnish companies should leave Russia soon. If I read your report this morning, there is no real hard commitment and there is no date. So has there been any developments in the legislation? So what is the thinking of your largest shareholder in terms of the timing of exiting Russia? And would also the government consider the OTC of Uniper as a kind of asset in Russia? Thanks a lot.
Markus Rauramo: With regards to the -- yes, indeed, we have -- we said already in the previous quarter that we will not finance -- we will not do new financing or new investment decisions in Russia. We have stopped the purchases of coal and biomass and now we then told that we are targeting a controlled exit from Russia and that includes then our Russian assets and that process will take some time. But the target is to have potentially a transaction for an exit that also requires government approvals from the Russian government. These transactions take the time they take and we will work determinedly towards that target. With regards to the Gazprom contract, yes, indeed we have very long-term contracts that are in place and then we have to then work out, like I said earlier, to reduce the dependency on Russian energy, together with the government's between the governments -- between governments and companies that, how does this transition happen in a way, which then takes into account the security of supply and energy security of Europe. And that is something for example that the German government and parliament are addressing now this week.
Wanda Serwinowska: Thank you very much. A quick follow-up. So in my understanding you're not basically able to terminate the OTC with Gazprom at the moment. And then when you said that any transaction in Russia would need to be approved by the government, it wasn't the case always, I mean if you find a buyer, can you choose any buyer you want or doesn't need to be a utility, is there any restriction there. Thanks a lot.
Markus Rauramo: There is a valid long-term contract with Gazprom with take or pay obligation and delivery obligation by Gazprom, so that continues to be in place. And like I said, there has to be an agreement between the governments, between governments and companies how to make this happen. When it then comes to our controlled exit from Russia and a potential transaction, then we will see during the process, what kind of interest for these assets there is, but it is indeed so that Russian government approval is needed for a potential transaction.
Wanda Serwinowska: Thank you very much.
Operator: Thank you. Our next question comes from the line of Lueder Schumacher of Societe Generale. Please go ahead, your line is open.
Lueder Schumacher: Yes, good morning. Lueder here. Two questions from my side. The first one is coming back to the energy security law. Just to confirm, it's rather important point. Is it your understanding that in the case of any curtailment in gas volumes, all suppliers will be free of their contractual delivery obligations? Just double checking there. Also is that part new or it was not covered in the 1975 version of the law? And also are there any other relevant changes to the law that is being discussed at the moment? I mean, if you will be as close to this as very few other people, so your views would be very interesting there. The second question is on hedging. Given the high level of spot prices and the cost of hedging in terms of variation margins, et cetera, have you or are you planning to change your hedging strategy towards hedging less or you sell a lot more spot than you used to do? The reason for asking is it would seem to be obvious decision to be making given that spot prices are very high, the forward curve is ridiculously low compared to spot prices and we have recently seen other players, other generators such as Vattenfall announce that they are adopting a new price hedging strategy. What is your view on that?
Markus Rauramo: With regards to the energy security law, from my point of view, this is an addition to what was already in place. So this goes one step further in clarifying that in case of a severe or full disruption, then the government is ready to go for additional measures to ensure the continuity in the market. I think this is my important takeaway. Then how that will happen in practice, the details, at least for me, there still remain to be clarified that how will then the volumes be, how will they be allocated because there is not a physical matching of course in the markets even today. So there are details that remain open, but I think the intention from my point of view from an energy security and continuity of the market point of view is very important. Then for the hedging, especially with our Nordic outright position, we continue to be exposed to weather conditions, for example, hydrology levels, temperatures and so on. So what we are targeting with the hedging is the predictability and stability of the cash flows and we have not changed our approach there.
Bernhard Gunther: Maybe just adding that on the gas side without going into any details. I mean, those long-term gas contracts as you probably know Lueder have a certain element of indexation. So you're basically tracking the gas prices as they evolve. So there you have even higher economic reason for hedging, because you know that on the one side, you're basically following exactly the same index that you can be selling at without going into further detail.
Lueder Schumacher: Okay. So you see no reason for changing your hedging strategy irrespective of this huge disconnect between spot prices, forward curves and other big parties in the market changing. I mean, I can't really see where the value is but obviously, you still seem to be keen on hedging. So that's fine. Thank you.
Markus Rauramo: I think it's fair to say we are looking at. It is not that we dogmatically stick to that. And for example, as soon as we would come to the conviction that there is a structural backwardation in the market, as you suggested, in terms of the relation between spot --
Lueder Schumacher: The forward curve is suggesting.
Markus Rauramo: Yeah. Depending on what you assume for the underlying fundamentals. And then of course, these are elements which drive our specific decisions, but this is nothing to be announced in public.
Lueder Schumacher: Okay, thank you very much.
Operator: Thank you. Our next question comes from the line of Vincent Ayral of JPMorgan. Please go ahead. Your line is open.
Vincent Ayral: Hi, good morning everyone. Sir, I have questions regarding the Russian asset sales. So it's been through already the questions were asked is regarding this. Will you keep consolidating these activities. I mean, the question I think is fair on whether you really have control on these operations. So far we can see that both Uniper and Fortum keep consolidating and these P&Ls from Russia and so what would make you change your mind going forward when we see these Russian assets in these cover at some stage in the next 12 months? So that will be the question number one. And the question number 2, given it's a forced asset sale, you do not understandably picked any timeline in order to relieve a bit of pressure and hopefully be able to do that in better conditions later. But if the political pressure were to keep forcing on there, is there the risks that actually these assets could be sized and the compensation for long-term contract, again purchase commitments if we had to get like a one sided Europe in the ban on Russia gas, which is not the base case, but we are working here on pricing scenarios, as you understand. Thank you.
Markus Rauramo: Yeah. With regards to the thinking behind the asset sales, so I would first look at how our business is doing. And actually the performance of the assets is very good. They are efficient, the availability is best-in-class and we are operating them safely. It is a question of the operating environment and our investment appetite in Russia, why we are now then targeting the full exit and as a part of that potential sale transaction of the assets and then we will see how that process goes. I'll let Bernhard and answer the consolidation question which then has its normal triggers. With regards to the whole question about political pressure and various scenarios. So this is actually -- the scenario work is something we do and that leads into the consideration. So not only Russian assets, but other assets as well. We look at operating environment, we look at our possibilities to add value, where do we best place our capital. And in this case, of course, for quite natural and very, very sad and unfortunate reasons the war in Ukraine and the resulting view that we have on our ability to work in Russia, we have come to the conclusion that we will take a controlled exit from there, but it's a controlled exit and our assets are performing well at the moment.
Bernhard Gunther: Yes. On the consolidation question, it is obviously a very dynamic situation, so we are watching it by the day, by the week and end of Q1, we concluded that we still had control of our Russian assets as shareholders both Fortum and Uniper for their respective assets. But of course, there can be circumstances also developing rather soon where we would come to the conclusion that we no longer have this control, so that we can no longer exert our shareholder rights. This is not an exact science, but this is a discussion one needs to have both within the company and with our auditors and then come to a judgment at the end of the quarter on how to treat it.
Vincent Ayral: Thank you. Just to be a bit more precise, what type of, if we see like no changes on these assets which are mandated and we started to see if you and would that be a trigger for the year. Say that actually would have more control.
Bernhard Gunther: Yeah. I mean, for example, if he could no longer now determine our exercise, our shareholder rights by appointing Board members, yeah, if we had no way of communicating with these assets. So whatever that would be, yes, we would receive no data anymore. So these I think we're all indicators, yeah, that for a loss of control. Of course, they are very, very clear scenarios mentioned also about nationalization also where it is quite obvious, but there are also other scenarios where it's about how you interpret different shades of gray and what conclusions you draw from it. Again, it's not an exact science and we are keenly watching it and attentively watching it every day.
Vincent Ayral: Thank you very much.
Operator: Thank you. Our next question comes from the line of James Brand, Deutsche Bank. Please go ahead, your line is open.
James Brand: Hi, thank you for taking my questions. [indiscernible] ask exactly the same question Lueder asked, so I’ll as a couple of different ones. The first one, just maybe following on from the topics that he was rising, can you get cash out of Russia, because I've heard no one can, but maybe you can. And then secondly on the SE2 region and the issues there, are there any reasons to think that could improve at any point or maybe even deteriorates? If you have any thoughts on what the like evolution is going to be there, that will be useful. Thank you very much.
Markus Rauramo: I can start with the SC2 question and then the cash out of Russia maybe Bernhard wants to aswer that one. But I see actually the long-term potential of clean energy for the Nordics, especially for the areas in Finland and Sweden along the coast lines where you have very good wind conditions, great logistics, port infrastructure, road infrastructure. And this is attractive for new renewables development and therefore also energy intensive industries who will going forward need huge amounts of clean electricity and also increasingly clean gases.  And we see different kind of initiatives from companies who want to decarbonize their activities in the industries of some steel, chemicals, manufacturing and so on, who are making today pledges. So I do see that dynamic building also around the recent announcements of building the bay of -- Gulf of Botnia, potential future hydrogen infrastructure. So yes, I can see a very good potential there for the dynamic to develop positively and actually building on this good conditions which are now -- of course, they are impacting now the SC2 prices because there is congestion on transmission capacity, but in the longer term, this will be a good investment signal for industries that are looking for stable countries to invest in and affordable clean energy.
Bernhard Gunther: Yeah. With regards to getting cash out of Russia, our Russian division has never been or has always been from a cash perspective an entity of its own. So we did have dividend payments or the like happening, but obviously not on a monthly let alone weekly basis. So we have not traded recently, but our assumption would be that currently it would not be possible to move the cash out of Russia.
James Brand: Thank you.
Operator: Thank you. And our next question comes from the line of Iiris Theman of Carnegie.
Iiris Theman: Yes. Hello. This is Iiris from Carnegie. So my first question is related to your net debt. So how would you expect your net debt to develop during the rest of the year? And my second question is related to this electricity price difference in Sweden. Yes, I understand that Sweden is talking about higher trade investments in the future to solve this bottleneck between north and south. What is your understanding of these future investments and what kind of lead times one should expect? Thank you.
Markus Rauramo: I can start with the second question, and I'll let Bernhard take the first one. But I see two alternatives, two basic alternatives, either the society invests heavily in debottlenecking in Sweden, especially in debottlenecking in the north-south direction. They should also do it east-west in South Sweden, but then enable the electricity to be transported into South Sweden, or then -- and maybe combine with some debottlenecking, actually create good infrastructure and grid connections in the SC2 area and Northern Sweden in general, not so much to transport the electricity, which actually may be -- there's a lot of potential. We talk about huge potential for wind in the northern parts of -- and central parts of Sweden and Finland, but actually attract the -- if this is -- if we have a situation of really high competitiveness for clean energy production, then the question is, do you want to transport the energy or do you actually want to take the energy-intensive industries there, and have short-term transport distance. Whichever the case, actually investment in infrastructure will be needed. So the SVK cannot forgo investing. Either it is used locally and you have built some tens and hundreds of kilometers of high-voltage grid, or then you build even more, and take the energy south and eventually even to Europe. My -- I'm pretty convinced that we will actually see energy-intensive industries, locate themselves to the areas where there will be, in the long-term clean electricity and clean gas surplus. And in Europe, that would mean the north and the very south, north for wind-based clean energy, and in the south, solar-based clean energy. And then the Continental, much denser inhabited areas there, they may serve part of the need locally, but still a lot has to be imported. And then the question is, will that happen in the long run in electricity or in gaseous forms?
Bernhard Gunther: Yes. On the much more profane question of net debt guidance. You know that we don't guide net debt as we generally don't guide for the full year on the Fortum side at all. I can just maybe recall some of the big drivers and then leave it to your imagination on how you combine them. So we have these -- obviously, these intra-year movements of gas volumes, which affected both the earnings side in Q1, but will also affect -- or have also affected the cash flow in Q1, and are bound to revert in the later quarters of this year. So this will be a positive effect than we have, obviously, the transaction on Fortum Oslo Varme, where we expect the proceeds to arrive in the second quarter. But we will also pay a dividend, [indiscernible] Fortum dividend we have paid in Q2, and it's not in the reported numbers yet. So these are maybe the -- some of the big moving parts there. But it's very clear that the Q1 cash flow and its effect on net debt should not be linearly extrapolated to the full year.
Iiris Theman: Thank you. And regarding these grid investments in Sweden, what kind of returns one should expect?
Bernhard Gunther: That's one for you, Markus.
Markus Rauramo: Yes. They are long, because of the permitting, the regulation acceptance issues. So we talk about years of development and there has to be -- first of all, there has to be a conviction that this could be done. You're touching a very important point. So this is one of the things that Continental Europe and Germany are really struggling with. So permitting either new renewables or permitting energy transmission lines takes too long, it can take up to 10 years. And that's not -- that does not facilitate the energy transition. This is why we are raising this point continuously, and our peer companies are doing that as well, both in the Nordics and as well as on the continent.
Iiris Theman: Thank you.
Operator: Thank you. And our next question comes from the line of Piotr Dzieciolowski of Citibank.
Piotr Dzieciolowski: Hi. Two questions from me. Thank you for the presentation. First one, I wanted to ask about the dividend policy. This crisis and what's going on with your financials changing and how your outlook of your -- on your dividend policy, you are about to pay the dividend now from last year profit. But I mean, just thinking about going forward, does this create any constraint or you are strongly still committed to the dividend as it is? And second question, I wanted to ask you about your expectations towards the Russian assets, the operational performance. Clearly, first quarter doesn't show the picture. What do you see going on now in terms of the economic activity in the country and the impact of the assets? I remember last time in 2014 there actually we've seen a significant impact also on the load factors, prices and so on. So what is your expectations with regards to this?
Bernhard Gunther: Yes. With regards to the dividend policy, so our policy is and remains to be that we want to pay a stable -- sustainable over time increasing dividend. And it's a combination of this. So we look at our dividend, we look at the balance sheet and we look at the CapEx. And then we evaluate over time, how these three are balanced. And of course, we listen closely to our stakeholders, investors, look at the possibilities, how we can reinvest the money into growth. But I would say that, what underpins all of this is that, we believe that we have good competencies, we're in the right places, and we can grow our business and generate new revenues and new operating profit from our businesses. And then, we have to look at all this in the prevailing situation. So we shall see how this year develops and where are we next spring, and we and then our Board will make the valuation then. But my objective is that, we use our competencies to invest in growth and deliver more results and run our assets efficiently and safely, which is a good bridge to the second question, with regards to the Russian economy. There are various forecasts on how much -- how big is the impact on Russian economy of the war in Ukraine and the sanctions and its implications, it will be a heavy impact.  What comes to our assets then, the key thing is that we continue to -- we keep up the good availability, the efficiency and safety of our operations. We take good care of the assets. So we want to preserve the value in all circumstances. If we sell the assets, we want to sell them in a good shape. And at the same time, keeping the assets running efficiently. And our earnings are based on the spread we can earn over the fuel costs and the CSA or CCS payments. So there's a lot -- there's both the spread element and then the regulated part. And both of these have continued to perform as expected.
Piotr Dzieciolowski: Okay. Thank you very much.
Operator: Thank you. And currently we have one further question in the queue. That's from the line of Louis Boujard of ODDO BHF.
Louis Boujard: Thank you very much. Good morning everyone. Maybe 2 questions on my side. The first one, coming back on the Russian impairment. Just wondering, considering that most of them still consider, in fact, Uniper, the share that is directly linked to Fortum is still relatively limited. In the question -- in considering that there is a lot of risk still, not being [indiscernible] values, how could you consider that the number and the figures that are currently proposed here, are fair value, in case of exchange and in case of disposal, do you have any support on these assumptions that you have provided here for the EUR2.1 billion impairment? Or do you see that it could eventually be some risk on these assumptions, and eventually further impairments that could be expected down the road, on these assets fair value? Second question would be on the CapEx. The EUR1.5 billion CapEx that are considered for this -- for '22, what share could be considered to be earmarked for actual renewable developments and energy transition developments? And what share is more related to traditional business?
Markus Rauramo: Yes. Maybe I'll make a general remark for the impairments and let Bernhard elaborate. But we -- the assets are performing well. So basically, the cash flows are such, the forecast has not changed. So this is about scenarios and risk elements and risk premiums. And this is then a judgment we have to make, and I'll let you elaborate on that. And we do open up in the report also how we have addressed this. So you will find guidance there. On the CapEx side, renewables form a big part of it, and then it is the investments in grid services, grid stability, Grain, Killingholme, Irsching, Scholven, then the investments into Pjelax-Bole and Kristinestad and our other rest projects. So the very big part is going into renewables and grid services.
Bernhard Gunther: Yes. Maybe just to add only a bit to what Markus said because he already, I think, has mentioned, there is a big moving part in the impairment. It is -- technically, it is now obviously prescribed by our auditors, both at Uniper and at Fortum that you reflect a situation like the one we have in Russia by considering different risk scenarios. So you assume different potential way forwards. And this, of course, is again like what we discussed on the full consolidation question, a very dynamic situation. So it evolves as we speak, and we all don't know what the future will bring. So yes, of course, there is the possibility that in next quarter or in any quarter thereafter, we might come to a different view on how certain risks and scenarios might evolve in Russia and therefore, the impairment or the asset values would be accordingly adapted.
Louis Boujard: Thank you.
Operator: [Operator Instructions]
Ingela Ulfves: In the meanwhile, we could actually take some questions from the chat. So there's a question from James Sparrow at BNP Paribas. How much more confident do you feel about your liquidity position and derivative exposure compared to what you presented at the full year results? Despite the increase in derivative exposure during Q1, your margin exposure has gone down. Can you give more color on how you have achieved this?
Bernhard Gunther: Yes. Should I take this, please? Yes. I think I already mentioned on an earlier question that we have achieved a significant derisking with regards to margins at risk or collateral at risk and the i.e., the liquidity swings that can be caused by commodity price movements. And this is very significant compared to the position we were in Q4 last year. So from that perspective, I feel much more comfortable and confident, given the overall geopolitical situation and scenarios, of course, it feels a bit odd to talk -- to use the word comfortable generally, yes. But we are clearly much better positioned than we were some five or six months ago. What have we done in the meantime? Yes, we have basically allocated our hedging activities much more, always a very different balance between exchange-traded channels and other channels, be they CS8 or non-CS8 in order to achieve a position where the overall exposure against commodity price shifts, especially on the gas side, is now drastically reduced. So this is something we have been working on very hard since basically, it all started end of Q3 last year and -- but now have reached a position, I think, there where -- that position at least generally, I do feel comfortable, yes.
Ingela Ulfves: Thank you. And then we have a few more minutes until we need to end the call. There's one question, partly has been touched upon already from Helsinki at Helsingin Sanomat Laura Kukkonen. Uniper has long gas contract with Gazprom. Would it be possible for Uniper to stop buying Russian gas control before these contracts end? And if so, how and when?
Markus Rauramo: This is a question about how do we handle the energy crisis, how do we take care of the security of supply and energy security of Europe. And it is an issue. Like I said before, it's an issue that has to be dealt between the governments together, and together between governments and companies. We need to develop a pathway, how to make the decrease on dependency on Russian energy. How do we make that happen? And we are actually making that happen by providing more supplies to the market. For example, in the form of booking more capacity at Gate LNG terminal for more supplies into Europe. We are now building the first LNG floating regas and storage terminal in Wilhelmshaven. And this, together with the other LNG terminals will actually take care of a very substantial part of the supplies of Russian pipeline gas into Germany. When it then comes to the contracts themselves, they are contracts that have many, many years of length, and there needs to be an agreement how they would be then modified. But currently, these contracts continue to be valid. But the key question is the security of supply, energy security of Europe, and how do we handle that, how do we make the transition in this situation.
Ingela Ulfves: And one last question from Ingo Becker at Kepler Cheuvreux. Could you comment on how your strategic ambitions with Uniper have changed with recent developments beyond the decisions you have taken for Russian operations?
Markus Rauramo: Our strategy actually remains the same. We are targeting to help with the energy transition to happen. Climate change is one of the biggest threats, if not the biggest threat we are facing. The energy transition needs to happen through a reliable, affordable, clean energy system. So we are investing, and we will invest in -- growing in Co2-free power, increasingly clean gas and infrastructure. And if anything, the current events, the current -- the war, the terrible war in Ukraine and the resulting crisis, the resulting high prices, these just highlight the importance of the energy transition to happen. We are well placed for that. We have good competencies. We have technology. We have capability, as we have shown just recently of working in all of these areas. And the recent announcements just highlight this point.
Ingela Ulfves: Thank you so much, Markus. Thank you, Bernard, and thank you to the whole audience for participating here today. So on behalf of Fortum we now wish you a very nice rest of the day and end the call here. Thank you.
Markus Rauramo: Thank you very much, everybody.